Operator: Good afternoon and welcome to Forestar’s Second Quarter 2021 Earnings Conference Call. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now turn the call over to Jessica Hansen, Vice President of Investor Relations for D.R. Horton, the majority shareholder of Forestar. You may begin.
Jessica Hansen: Thank you, Paul. We welcome each of you to the call to discuss Forestar’s financial results. Before we get started, today’s call may include comments that constitute forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Although Forestar believes any such statements are based on reasonable assumptions, there is no assurance that actual outcomes will not be materially different. All forward-looking statements are based upon information available to Forestar on the date of this conference call and Forestar does not undertake any obligation to publicly update or revise any forward-looking statements. Additional information about issues that could lead to material changes in performance is contained in Forestar’s Annual Report on Form 10-K, and its most recent quarterly report on Form 10-Q, both of which are filed with the Securities and Exchange Commission. This afternoon’s earnings release is on Forestar’s website at investor.forestar.com and the 10-Q is expected to be filed by early next week. After this call, we will post an updated investor presentation to Forestar’s Investor Relations site under Events and Presentations for your reference. Now, I will turn the call over to Dan Bartok, CEO of Forestar.
Dan Bartok: Thank you, Jessica and good afternoon everyone. In addition to Jessica, I am pleased to be joined on the call today by Jim Allen, our Chief Financial Officer; and Katie Smith, our new Director of Finance and Investor Relations who joined Forestar a few weeks ago. I’d like to brief moment to have Katie introduce herself before we can start. Katie?
Katie Smith: Thank you, Dan and hello everyone. I'm excited to get to know our current investor base and analysts and I'm also looking forward to helping Forestar expand and build a shareholder base with new investors who are just as enthusiastic about Forestar’s value creation strategy as we are.
Dan Bartok: Thank you, Katie. Given that Katie has just recently joined Forestar, she will not be an active participant today. But we are very excited to have her with us as a key member of our team. The Forestar team delivered a strong second quarter, outperforming our expectations, and we continue to achieve important milestones that create additional value for our shareholders.  Our business is expanding rapidly and we are capitalizing on the strength of the residential finished lot market. We delivered 7,155 lots to home builders in the first half of fiscal 2021, putting us on track to now deliver over 14,500 lives for the full-year of fiscal 2021. I want to thank our development teams and our contractor base for the strong execution over the last several months, which has made this possible. We continue to gain market share in the undercapitalized and fragmented lot development industry. Forestar’s lots sold to D.R. Horton, continues to grow as a percentage of D.R. Horton closings year-over-year. And our lot delivery to third-party builders are at their highest level since D.R. Horton acquired a controlling interest in Forestar. Executing on our plan is translating into increased profitability. Our second quarter gross profit margin increased by 450 basis points year-over-year to 18.6%. There were several factors that contributed to this quarter’s gross margin improvement. We delivered a larger mix than normal. Mix of lots from communities with higher gross margins. We also made further progress delivering more lots in projects that were sourced by Forestar, and we did less lot banking in the quarter. Finally, the market remains strong with increased demand for lots from homebuilders. We remain committed to our returns focused business model. Our high turnover, lower risk manufacturing strategy led to a 360 basis point year-over-year improvement in Forestar’s return on equity. We expect to generate further growth in pre-tax income and to increase our returns on equity and inventory, as our platform continues to gain scale and our team grows in their respective markets. Jim will now discuss our second quarter financial results in more detail.
Jim Allen: Thank you, Dan. In the second quarter, Forestar’s net income increased 196% to $28.4 million, or $0.59 per diluted share, compared to $9.6 million or $0.20 per diluted share in the prior year quarter. Forestar’s second quarter revenues increased 80% from the prior year quarter to $287.1 million. Residential lots sold during the quarter total 3,588 lots, an increase of 84% from the prior year quarter. The average lots sales price for the quarter was $78,100. 88% of lots sold in the quarter were from development projects, up from 65% in the same quarter in the prior year. Lots sold the D.R. Horton during the quarter represented 94% of Forestar’s total lots sold down from 98% in the second quarter of fiscal 2020. We sold lots to 11 builders other than D.R. Horton during the second quarter of this year, up from six builders in the same quarter last year. Dan?
Dan Bartok: Our pre-tax income for the quarter was $37.6 million, with a pre-tax profit margin of 13.1%. Our gross profit margin was 18.6% in the second quarter, up 450 basis points from 14.1% in the prior year quarter. As I mentioned earlier, improvement in our gross margin was primarily due to an increase in development lot sale margin, which was largely driven by delivering a higher than normal mix of lots from communities with outsized gross margins. We continue to expect fluctuations in our gross and pre-tax margins due to the quarterly mix of our lot deliveries and the timing of track sales. SG&A expense, as a percentage of revenues in the second quarter was 5.7%, compared to 7% in the prior year quarter. We remain focused on managing our SG&A expenses efficiently while building out our platform to support our significant growth. And we believe we will continue to manage our business at an SG&A percentage significantly lower than most public homebuilders. Jessica?
Jessica Hansen: Forestar’s underwriting criteria for new development projects includes a minimum 15% annual pre-tax return on inventory and a return of the initial cash investment within 36 months. During the second quarter, investments in lots, land, and development totaled $380 million, of which roughly half was for land and half was for land development. For the six months ended March, investments in lots, land, and development totaled $850 million. Forster continues to expect to invest at least $1.5 billion in lots, land, and development in fiscal 2021 subject to market conditions. Forestar’s lot position at March 31 increased 62% from a year ago to 84,500 lots of which 58,700 lots are owned, and 25,800 lots are controlled through purchase contracts. Of Forestar’s 58,700 owned lots, 35% are under contract to sell to D.R. Horton representing at least $1.5 billion of future revenue. Another 28% of Forestar’s owned lots are subject to a writer first offer to D.R. Horton under the master supply agreements. Lots forced by Forestar continue to grow as a percentage of the company's owned lot portfolio supporting long-term improvement in Forestar’s gross margins. Of the company's owned lot position at March 31, 48% were forced by Forestar, up from 31% a year ago. Forestar continues to target a three year to four year owned inventory of land and lots. Jim?
Jim Allen: Forestar remains focused on maintaining a strong balance sheet with ample liquidity and modest leverage. During the quarter, we utilized our aftermarket equity offering program for the first time and issued 1 million shares of common stock for net proceeds of $23.3 million. We ended the quarter with $500 million of liquidity, including $170 million of unrestricted cash and $330 million of available capacity on our revolving credit facility. Total debt at March 31 was $655 million and our net debt to capital ratio at quarter-end was 34.1%. Earlier this month, we priced $400 million principal amount of 3.85% senior notes that will mature in 2026. The transaction is scheduled to close tomorrow. The portion of the proceeds will be used to redeem our $350 million 8% senior notes due in 2024 in full, and the remainder of the proceeds will be used for general corporate purposes. After we redeem the 8% notes, we expect to recognize a loss on extinguishment of debt of $18.1 million in the third quarter, which represents the call premium and write-off of unamortized debt issuance costs related to the notes. This refinancing transaction will result in substantial interest savings. Last week, we amended our revolving credit facility to increase the facility size to $410 million and extended the maturity date from 2022 to 2025. At March 31, stockholders equity was $944 million, and our book value per share increased to $19.21, up 10% from a year ago. Dan?
Dan Bartok: We are excited about our team and their ability to execute the lot development model. Forestar continues to be uniquely positioned to gain market share through housing market and economic cycles in the highly fragmented lot development industry. Based on results for the first half of the fiscal year, and today's market conditions, we now expect to deliver between 14,500 and 15,000 lots and to generate approximately $1.2 billion to $1.25 billion of revenue in fiscal 2021. We are now expecting our pre-tax profit margin for the full-year of fiscal 2021 to be in the range of [10% to 10.5%], excluding the one-time charges associated with calling are 8% notes. We expect our tax rate for the third and fourth quarter to be in the range of 25% to 26%. At scale, we continue to expect our operating model to produce financial results and returns that are better than most mid cap home builders. Before we turn to questions, I'd like to remind everyone of Forestar’s investment highlights. We have a unique lot manufacturing business model that is very different than a typical land developer. We have no [un-entitled] land. We are focused on developing lots for the affordably priced housing market. We have a seasoned management team experienced in consolidating market share and navigating through market cycles. We have a strong balance sheet and liquidity position with low net leverage. We have been consistently profitable and are managing our business at an SG&A percentage significantly lower than most public home builders. And most importantly, we have a unique competitive advantage due to our relationship with D.R. Horton, the nation's largest builder. This highly strategic relationship allows us to expand our platform nationally while minimizing risk. To summarize, we are continuing to execute on our plan and are positioned for continued success. Paul, all at this time we’ll now open up lines for questions.
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from John Lovallo with Bank of America. Please proceed with your question.
John Lovallo: Hi guys. Thank you for taking my questions tonight. The first one is on the gross margin. And Dan, I apologize, you cut out when you mentioned the updated pre-tax margin guide. I think I think you said 10% to 10.5%, was that correct? 
Dan Bartok: Yes, that's correct.
John Lovallo: Okay, great. Thanks. So then, on the gross margin, you know, the 18.6 was well ahead of what we were thinking. And you talked about several drivers and also mentioned that it could be a little bit bumpy, but I guess what we're trying to gauge is just how repeatable this margin might be. So maybe, you know any thoughts on that and along those lines, is there any way you could disclose what the average margin on development lots was in the average on banking deals in the quarter?
Dan Bartok: You know John, it was really great that we had such a great quarter and everything aligned for us. But it also illustrates how lumpy our quarterly results can really be. No, we don't anticipate a repeat of those strong gross margins over the next couple of quarters. You know, we really remain focused on returns and not on margins. It just really was – it was just happening to be certain lots delivered that had higher margins. And I think as we said before, you know, the longer projects was, you know, it was more or less and a longer life were going to have more gross margin than the shorter ones because of our focus on returns.
Jessica Hansen: And then we [haven’t] given a gross margin breakdown between lot development sales and lot banking sales. Lot banking did decline again to about 12% of the overall lot sales for the quarter. And generally speaking, those are a lower gross margin in the development sale margin just because of underwriting to the returns rather than the gross margin associated with that.
John Lovallo: Okay, understood. And then, you know, obviously, builders have had the ability to raise prices pretty aggressively in this environment, curious how Forestar has been able to, sort of keep up with the price increases, you know on new deals, and also on, you know, as different phases are met in the existing deals? Have you been able to aggressively raise prices as well?
Dan Bartok: You know, we have definitely had opportunities to raise prices. I mean, we're generally pricing lots, maybe 6 months to 9 months to 12 months of delivery ahead of us. So, we can't really do it in the short-run. So, I think you'll see a gradual improvement of that pricing power. But again, as we're so focused on returns, it was really also about how rapidly the subdivision is absorbing. So, we really want to be careful not to raise too much so that the velocity in a particular subdivision gets curtailed.
Jessica Hansen: And in terms of the mix, if you look at the ASP coming down, John, really, that's been driven by Forestar’s focus on selling lots for homes at affordable price points. And so they saw in previous quarters, more higher lot sales deliveries from those higher priced projects. Today, we think they've settled out to where it's going to be going forward, call it high 70s, low 80s for an average lot sales price. I mean, still a little bit of variability, but that high 70s to low 80s, generally, we've used to home sales prices [3 to 3.25 or so]. So, very much an affordable price point.
John Lovallo: Great. And if I could sneak one more in here, you know, certainly some tough weather in the quarter, any impact on Forestar’s results in the second quarter that may benefit as you move through the year, just kind of a push forward?
Dan Bartok: You know, I really got to give credit to our teams. They really delivered. In fact, you know, we really kind of delivered lots faster than anticipated in several projects. The weather was tough, but you know, we were pretty fortunate that, you know, being spread across the country like we are being diversified. And you know, the impact for us was pretty nominal. If there was an impact, I'll take that impact every time because we just had a great quarter. 
John Lovallo: Alright, thanks very much guys.
Operator: Thank you. Our next question comes from Ryan Gilbert with BTIG. Please proceed with your question.
Ryan Gilbert: Hi, thanks very much. First question is, I guess, just going back to gross margin, it sounds like the real driver here was the mix of lots that were being delivered from kind of outsized gross margin communities, because if I look at the land baking mix, it was pretty comparable to the first quarter of 2021, when your gross margin was much lower. So, maybe you can just talk about the characteristics of those communities, why they have such higher gross margins, and, you know, your ability to kind of replicate those communities, and you know, in the quarters ahead?
Dan Bartok: Yeah, it's heavily highly driven by Forestar sourced deals where we have gone a little bit longer in the size of a project. And because of our returns focused nature, the longer duration of a project will always result in a higher gross margin than the shorter duration projects. You know, we like to have a good mix of both. And again, it was just – it just happened to be the stars aligned, and which projects delivered lots, you know, frankly, a lot of it came about in the last couple of weeks of the quarter, that just happened to happen to have a great result. You know, I know, the question of being repeatable, I think John kind of alluded to that. But, you know, over the next couple quarters, you know, the visibility that we have, I don't expect that to be repeated. But I think it gives us a snapshot of what can be achieved, you know down the road when we're really at scale and operating more efficiently and having projects at all cycles, you know, in every part of our of our project cycle. So, you know, is it going to happen next month or next quarter, I would highly doubt it. But, again, I think it gives us a good snapshot of what's achievable.
Ryan Gilbert: Okay, that's great. So, I guess just to kind of repeat what you just said, as we move to a higher mix of Forestar sourced lots over the next, you know, couple of years call it, you're going to see gross margins that are closer to the 18.6 that you did in this quarter versus the 14.4 that you did in the first quarter of 2021. Is that's the right way to think about it?
Dan Bartok: Yeah, yeah. And again, you know, I still caution that it's lumpy and it's, you know, it's even Forestar sourced deals were doing small deals, as well as big deals. And that's going to vary from quarter-to-quarter. But again, I say, if I can align the stars the way this quarter happened every time, then I would say, yeah, for sure we can do that.
Jessica Hansen: And our base case would be Ryan, that on an annual basis, you will see Forestar’s metrics improve year-over-year going forward. It's just the quarterly that we're talking about is lumpy to lumpy and not necessarily replicable today from that gross margin perspective.
Ryan Gilbert: Okay, got it. Thank you. Second question, you know, we're hearing a lot about supply side constraints, and you know I guess other areas of the supply chain here for home builders. And I'm wondering if, you know, bottlenecks elsewhere in the supply chain is, kind of hurting the pace that the builders that you're selling to can take down lots, or even your ability to, you know, to get finished lots ready for builders to be able to take down?
Dan Bartok: You know, from a supply constraint, I will say that we're starting to see little impacts, you know, clearly on concrete and some of the markets we're hearing about concrete allocations, but for us, at least at this point in time, knock on wood, we haven't really been impacted by that. And, you know, from the way I see the builders, you know, although we finished a lot of lots this quarter, we sold them, our finished lot inventory didn't go up.  So, as of right now, I'm not seeing any impact of their ability to take down on lots and get houses on the ground. A lot of our sales are to Horton, I think, what we’re like 94% or something this quarter? We’re to Horton and whether that's repeatable by every builder, I can't answer that. But so far, you know, we're not really seeing anything other than get more lots on the ground because we want them.
Ryan Gilbert: Okay, great. Thanks. I'll jump back in the queue. Appreciate it.
Dan Bartok: Thanks, Ryan.
Operator: Thank you. Our next question comes from Anthony Pettinari with Citi. Please proceed with your question.
Anthony Pettinari: Hi, good afternoon. Your guidance implies I think over 40% growth in lot to deliveries for the year, I think at the midpoint and you know, D.R. Horton’s delivery or closings guidance for the year, I think is low-to-mid 20s. I just wonder if you could talk about that delta, you know, is that just D.R. Horton purchasing more than it consumes to build back inventory? And if so, is there a way to think about sort of the length of time that you can sort of grow above D.R. Horton's pace before that maybe normalizes or correct? Or are there, you know offsets that we should think about in terms of share gain or third party sales? It could, you know, keep your kind of performance or the fast clip going?
Dan Bartok: Yeah, I think right now, I don't remember the exact number this quarter, but I remember seeing that we delivered approximately 16% of Horton’s lot needs. I think that we stated and Horton stated previously, the goals for us to get to, you know, 30% to 35%, of Horton’s lot needs. So, we can double the number of lots are taking before we get to, I think their target, again, doesn't mean the target doesn't move when we get there. But for right now, that's the discussion. So, there's still significant growth just to get to that number. In addition, you know, the third party builder business is starting to kick in a little bit. You know, I think I know the numbers still seem a little bit low, but you know, but 400 lots – Forestar only delivered 1,400 lots, I think the first year I was here. So, to deliver 400 lots to another builder is kind of beginning that process. And the more Forestar source deals we have the more of that becomes available. So, I think you're going to see growth in both areas. I think the percentage growth is going to be greater on the third party builders that are starting at a low base, but we feel really good about the guidance. So…
Jessica Hansen: And with Forestar’s capital today, with their access to the capital markets, just compared to the land development industry as a whole, I mean, they are so well positioned to continue to consolidate share. As Dan said, both not only through, you know, getting more D.R. Horton lots on the ground versus also just selling more to third parties. There's really still unlimited potential for them to grow their share from where it's at today.
Anthony Pettinari: Okay, that's very helpful. And then your owned lots increased by, I think around 6,000 from the prior quarter, I think your option to lots increased by a much smaller number, I think around 500. Is this just a function of bringing more lots on to the book as you exercise options and could set up for accelerating lot development or is it, you know, is it getting more difficult to option lots in the current environment? Or is there anything to kind of read into that mix?
Dan Bartok: You know, I think it's really just been, you know, execution of our plan. You know, we have seen this as a as a growth platform. We need lots that continues to grow. You know, having a strong pipeline, we've been pretty proud of that. And I think the number of owned lots to show that we're closing on the projects that we have, have put in contract earlier. You know, still having roughly 25,000, lots of control blocks, and that just shows you still got a pretty strong platform of future deals. On the flip side is, you know, land prices have been accelerating. And, you know, there's not necessarily going to be as many good deals today as there was six months ago or a year ago, but we think that'll be a, you know, I don't think it will be a continued pace. In the meantime, you know, we built out our acquisition teams and our development teams, and we're just going to continue to execute and try to underwrite very conservatively the – put strong deals on our books.
Anthony Pettinari: Okay, that's very helpful. I'll turn it over.
Operator: Thank you. Our next question comes from Truman Patterson with Wolfe Research. Please proceed with your question.
Truman Patterson: Hey, good afternoon, everyone. First, Dan, I wanted to follow up on one of the prior questions just about some of the, you know, potential supply constraints, but really specific to horizontal development, you know, are you seeing the enough labor and machinery to really a, meet your growth needs? You know, could you just kind of characterize, you know, how you think the industry is doing? Are you seeing any tightness, you know, that's beginning to delay your developments at all?
Dan Bartok: You know, from a labor and machinery standpoint, we have not really seen any problems. I think in the markets where we're building scale, and we're building that reputation of a quick payer, someone's going to keep their crews busy, you're becoming, kind of a, you know, pretty large force in our bigger markets as we've grown our platform. So, I actually feel really good about our contractor base, and how that is actually I think continues to improve.  The only real issues I'm seeing is really in, is in [indiscernible], you know, so it’s the plastic pipes. Those prices have accelerated. It's a relatively small piece of the overall cost of developing a lot. And now more recently, concretes have actually been a little bit in shortage, as well as the price has gone up. But so far, nothing has been outsized, and we've been able to pass through those costs, you know, as they're incurred.
Truman Patterson: Okay, do you think on, you know, the horizontal, you know, labor in machinery, you know, not really facing any constraints? Is that really unique to Forestar or do you think that, you know, the industry has, you know, ample capacity right now?
Dan Bartok: You know, I don't know that I can answer that. I can talk to what we've been able to get accomplished. I'm not hearing that other people aren’t able to get that, other than maybe on some other builder calls that I've listened in on in the past, but personally, you know, our team has not been seeing any shortages in those areas.
Truman Patterson: Okay, okay. And you know, big picture, land competition, you know, I'll just ask about, you know, builder behavior outside of D.R. Horton, right. What sort of builder underwriting are you seeing? Are they baking any price appreciation in, you know, more recently are – is there any pushback just from, you know, lumber has inflated very materially the past month or so, so, just wanting your thoughts there. And in finally, are you still seeing builders really go after larger lot communities?
Dan Bartok: No, I really can't speak to the details of how they're getting to their underwriting. I'm definitely seeing them offering, you know, higher prices for land and kind of, in some cases, you know, almost taking out any development type profits in that land. And obviously, we're, you know, we haven't won every deal because of that. We're not going to, you know, we obviously need to underwrite the development profit.  You know, are they getting a little bit bigger deals, I'm seeing a little of that. But mostly I'm seeing them kind of run up the pricing in the smaller projects. That's a – we've even had some offers for us on deals that we've intended to develop that their offers for the land that we haven't put into development yet. I’m kind of like, how do they get to that price? You know, so it's, I just think right now, it's created some frothy pricing in the smaller, you know, smaller projects that are ready to go and seen a little bit of extra competition in the bigger projects.
Truman Patterson: Okay, okay. And then final one for me, could you just give us an update on your corporate and, you know, the divisional infrastructure, you know, where you think you are, what inning you're at? And finally, you know, I believe as of the end of the year you were in about 51 markets, are you pretty comfortable with that footprint or is there more geographic expansion?
Dan Bartok: No, I'd say most of our growth is going to occur in the markets that we're already in. I think we closed the quarter in 53 markets, and we did pick up a couple markets. But again, there's smaller markets. I think we're in probably 30, 35 of the top 40 markets now. We now have 205 people on board as of the end of the quarter. So, we continue to build our teams. It is mostly about building out teams in the markets that were already in. We will probably enter some new markets on a selective basis. But you'll see the predominance of our growth being in the markets that we're already in. I mean, I don't know if they have access to the investor deck yet or no.
Jessica Hansen: It'll be [put afterwards].
Dan Bartok: When you look at the investor deck, you know, in there, we always have that map of our footprint, you know, and you'll see that Texas and Florida are, you know, good 50% or more of our lot positions, that's where there's, there's several markets in each state. They're the top producing markets. And that's going to be the predominant focus. You'll also see, you know, Arizona, Georgia and the Carolina’s rolling. Again, where we find that’s the best values for land is where we're going to be putting, you know, the bulk of our dollars.
Truman Patterson: Okay, thank you and good luck on the upcoming quarter.
Dan Bartok: Great, thanks a lot.
Operator: Thank you. Our next question comes from Michael Rehaut with J.P. Morgan. Please proceed with your question.
Elad Hillman: Hi, this is Elad Hillman on for Mike. Congrats on the results and thanks for taking my question. So, first, just going back to gross margins for a moment, I was curious if you could disclose what percent of deliveries this quarter were Forestar’s compared to last quarter?
Dan Bartok: Yeah, that's really not something that we're disclosing. You know, I think what you'll see though, is probably about 50% of our owned lots now is Forestar owned sourced lots. And you'll continue to see a trend towards more and more deliveries from Forestar projects. But we're not providing the information of sales on the sales side.
Elad Hillman: Okay, understood. And then also, I was wondering if you could talk a little bit more about any, maybe regional standouts? You mentioned, Texas and Florida, being top producing markets, but anything particular to this quarter from a geographic perspective that maybe benefited the quarter?
Dan Bartok: Yeah, I just really think, you know, those are the two key states that we've made a lot of investment in. They are producing, you know, Arizona is a strong third behind it and our Atlanta division is building a great infrastructure as well. I don't think there was any change in sales from one state to the other as that would create any differences quarter-to-quarter is really kind of continuing to deliver where we have lot positions.
Elad Hillman: Great, thanks. And then my last question is just in terms of the M&A front and maybe, you know, further consolidating the land development market, is this something that you guys are thinking about, kind of in the near term to be able to acquire more land more easily or are you still kind of a ways out from that?
Dan Bartok: You know, we think about it all the time. We have discussions from time-to-time with, you know, possible candidates. I think the market right now is pretty strong. We prefer not to buy at the top of the market. I think we'll look for some stress down the road before we actually do any transactions.
Elad Hillman: Sounds good. Thank you.
Dan Bartok: Thank you.
Operator: Thank you. Our next question comes from Deepa Raghavan with Wells Fargo Securities. Please proceed with your question.
Deepa Raghavan: Good evening, Dan, team. Thanks for taking my question.
Dan Bartok: Hello.
Deepa Raghavan: Hi. So my first one is on the last earnings call, you guys mentioned strong demand in second half of the year, especially for lots, I think the implication was second half, there's going to be a second half weightage in lot guidance, your updated guide 14,500 and 15,000 implies an almost even split first half of this year versus second half. Anything changed there with regard to demand cadence, maybe there was some pull forward or is it just conservatism in the second half?
Dan Bartok: I don't think it was demand driven before when, you know we clearly may be steered to a softer second quarter than what we experienced. I just really have to give the credit to our development teams and our contractors that really delivered lots faster than we anticipated. So, we were able to pull forward not just from one quarter to the next, but kind of our whole platform, which is why we've increased guidance for the year. But, you know, it was just a strong execution by our teams and I give them all the credit.
Deepa Raghavan: Okay, got it. On your balance sheet capital raises, can you talk a little bit on why you felt the need to raise equity when your debt access is much stronger now? I mean any covenants that you needed to maintain or any ratios that you were kind of mindful off? I just want to understand when does such – when do you need to trigger such equity issuances?
Dan Bartok: Jim, you want to take that one?
Jim Allen: Sure. We’ve always said we want to raise a balance of debt and equity capital, being mindful of kind of our target 40% net debt-to-capital ratio that we keep an eye on. So yeah, we use the ATM for the first time this quarter. It's proven to be a very effective tool to efficiently raise primary equity capital. And you know, I think we’ll continue to take a disciplined and opportunistic approach to utilizing the ATM in the future.
Jessica Hansen: And would anticipate opportunistic raises of both equity and debt going forward as part of their long-term capital plans.
Deepa Raghavan: [Indiscernible]. A housekeeping one for me, and the final one. Any one-time items you may want to call out from either last year’s second half or even if this – even within this year, are there any shifts first half second half? Anything we should be mindful off as we try to model you guys out for the rest of the year?
Jessica Hansen: I think this is a pretty clean quarter. There's not much we would call out track sales were minimal in both last year's quarter and this year's quarter. So, really the only thing I think which we proactively scripted was to take note of the loss we will take on extinguishment of debt in the third quarter, but outside of that, pretty straightforward.
Dan Bartok: And again, other than what we said before on margin, the margin in this quarter was a little bit outsized, so I wouldn't use that number on a continued go forward basis.
Deepa Raghavan: Got it. That was helpful. Thanks very much.
Operator: Thank you. Our next question comes from Alex Barron with Housing Research Center. Please proceed with your question.
Alex Barron: Yeah, thanks and great job on the quarter. I was hoping you could help me understand how to think about the growth trajectory for Forestar, you know, you guys gave us guidance for 2021, but as I look beyond that into next year, you know, is there constraints to your growth based on, you know, labor availability or you know, or is it just a function of how fast you guys are growing your lot inventory?
Dan Bartok: Yeah, I think part of it is lot inventory, part of it is capital. I think the, you know, the guidance, what we've said in the past is with our current capital base, and earnings pace that we feel pretty comfortable that we can grow at about a 20% rate year-over-year without additional capital events. Additional capital that should help us accelerate that in future years.
Alex Barron: Okay. And another question in terms of the rationale behind paying down the 2024 bonds, I mean, I know obviously, you're getting a lower cost of debt with the new issuance, but why not keep that other debt just to allow you to have more capital to keep growing? Why pay down now?
Dan Bartok: Well, again, we're really trying to keep a conservative strong balance sheet, and we pay very close attention to our net debt to cap. So at this point, we feel comfortable with the total amount of debt level that we have. So, it's really about lowering our cost of funds, which, you know, lowers our interest costs significantly on a on a year-over-year basis. I think it's roughly a one-year payback of the cost of refinancing and extended that maturity another couple of years. You know, eventually that saved interest costs will roll through our cost of goods sold in future years and help increase margins.
Jessica Hansen: And I think Alex, our thought was always that we were to have the opportunity to do that, it was an inaugural offering for the new Forestar before we really had a chance to prove out the new business model, which ultimately is leading to higher credit ratings, which we've already seen some movement on, and we believe that Forestar is going to continue to demonstrate progress to where their cost of capital is going to continue to go down in the future. So really, it was just opportunistic to refinance that high [coupon note].
Dan Bartok: And we also [had] $500 million of liquidity at the end of the quarter. So, I mean, we, you know, we have the ability to be opportunistic in, you know, when and how we raise capital.
Alex Barron: Got it. Okay. Well, thanks again. And best of luck for the year.
Dan Bartok: Great. Thank you.
Operator: Thank you. Our last question comes from Ryan Gilbert with BTIG. Please proceed with your question.
Ryan Gilbert: Hi. Thanks for taking the follow-up. I had a question about land banking, it seems like there's been a kind of a recent proliferation of land banking, maybe some new entrants, or at least an increased willingness on the part of builders to use land banking, Dan, I just appreciate, you know, your perspective on what you're seeing in the marketplace around, kind of financial participants in the land development market, and the extent that you feel like you're competing with them for either land or customers.
Dan Bartok: Yeah, you know, Ryan, it's interesting that we have seen maybe some new entrants into the investment in land business, so to speak, we're seeing or at least we're hearing, I haven't seen anything happen yet, but we're hearing about an expectation of little bit lower cost of funds to do land and lot banking than what was there before. And I say some of the people that were in the business are maybe lowering their return expectations, which I think makes it easier. You know, it's – as far as competing with them, I don't, you know, I don't know that we're competing with them. I'm not seeing any, you know, as far as the projects that we're going after, I'm not hearing that they're chasing the same things we are. I think they're more just trying to align with builders. At least that's what I'm saying. Trying to align with builders to help them maybe take some stuff off their balance sheet. But then again, I'm not really seeing any direct competition from them. But to repeat, you know, it is interesting that maybe they're lowering their return expectations a little bit from where they were over the prior years.
Ryan Gilbert: That is interesting. Okay, great. Thanks very much.
Dan Bartok: Okay. Thanks, Ryan.
Operator: There are no further questions at this time. I would like to turn the floor back over to Dan Bartok for closing comments.
Dan Bartok: Thank you, Paul. And thank you to everyone on the Forestar team for your focus and hard work. We look forward to working together to continue growing and improving our operations over the coming years. We appreciate everyone's time on the call today and look forward to speaking with you again in July to share our third quarter results. Thanks, everyone.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. Have a wonderful evening.